Operator: Greetings, and welcome to the Taysha Gene Therapies Fourth Quarter and Full-Year 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Hayleigh Collins, Director and Head of Corporate Communications. Thank you, Ms. Collins. You may begin.
Hayleigh Collins: Thank you. Good afternoon, and welcome to Taysha's fourth quarter and full-year 2022 financial results and corporate update conference call. I'm Hayleigh Collins, Taysha's recently appointed Director and Head of Corporate Communications. I will also be overseeing Investor Relations activities. Ever in corporate communications experience in rare diseases having previously served in a similar role at Jaguar Gene Therapy. I'm excited to join Taysha at this pivotal time and look forward to working with the team to help bring potentially life-changing therapies to patients with rare diseases with high unmet medical needs. Earlier today, Taysha issued a press release announcing financial results for the fourth quarter and full-year 2022. A copy of this press release is available on the Company's website and through our SEC filings. Joining me on today's call are Sean Nolan, Taysha's CEO, Sukumar Nagendran, President and Head of R&D and Kamran Alam, Chief Financial Officer. We will hold a question-and-answer session following our prepared remarks. Please note that on today's call, we will be making forward-looking statements, including statements relating to the existing clinical data for TSHA-120 and the therapeutic and commercial potential of TSHA-120 and TSHA-102. These statements may include expected timing and results of clinical trials of our product candidates and other clinical and regulatory plans and the market opportunity for those programs. This call may also contain forward-looking statements relating to Taysha's growth, forecasted cash runway and future operating results, discovery and development of product candidates, strategic alliances and intellectual property, as well as matters that are not of historical facts or information. Various risks may cause Taysha's actual results to differ materially from those stated or implied in such forward-looking statements. These risks include uncertainties related to the timing and results of clinical trials of, and regulatory interactions for our product candidates, our dependence upon strategic alliances and other third-party relationships, our ability to obtain patent protection for our discoveries, limitations imposed by patents owned or controlled by third parties and the requirements of substantial funding to conduct our research and development activities. For a list and description of the risks and uncertainties that we face, please see the reports that we have filed with the Securities and Exchange Commission including our Annual Report on Form 10-K for the year ended December 31, 2022. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, March 28, 2023. Taysha undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call, except as may be required by applicable securities law. With that, I would now like to turn the call over to our CEO, Sean Nolan.
Sean Nolan: Thank you, Hayleigh, and welcome, everyone to our 2022 fourth quarter and full-year financial results and corporate update conference call. Today, I will begin providing a brief corporate outlook for 2023. Then Suku Nagendran, President and Head of R&D of Taysha will provide an update on our clinical development programs followed by a financial update from Kamran Alam, our Chief Financial Officer. I will then provide closing remarks before opening the call up for questions. The actions taken earlier this year to improve execution and expedite progress with our two lead clinical programs in Rett syndrome and GAN are having a positive effect. For TSHA-102 in Rett syndrome, we remain on track to execute across our timelines for both initial available safety data and regulatory submissions this year and our ongoing Phase I/ II REVEAL adult study. Suku will provide further details here shortly. For TSHA-120 in GAN, an ultra-rare disease with no currently approved treatments. We recently received constructive feedback from the FDA regarding our follow-up questions to the Type B end-of-Phase II meeting. We are completing a comprehensive review of the data from the ongoing natural history and interventional trial including functional, biological and electrophysiological assessments. The preliminary analysis appears encouraging and we believe there are some compelling new findings that we intend to share with the FDA to further discuss a potential regulatory path forward. Again, Suku will discuss this in further detail shortly. In the year ahead, we remain focused on achieving the anticipated near-term milestones in our Rett syndrome and GAN programs and continue to work towards our mission of bringing transformational new treatments to patients with these devastating neurodegenerative diseases. I will now turn the call over to Suku to provide a more in-depth discussion of our Rett syndrome and GAN programs. Suku?
Sukumar Nagendran: Thank you, Sean, and good afternoon, everyone. First, I will start with an update on TSHA-102, our gene therapy program for the treatment of Rett syndrome. As a reminder, TSHA-102 utilizes an innovative miRNA-Responsive Auto-Regulatory Element or miRARE platform designed to regulate the cellular expression of MECP2 for the treatment of Rett syndrome. TSHA-102 has received orphan drug and rare pediatric disease designations from the FDA and has been granted orphan drug designation from the European Commission. In our REVEAL Phase I/II trial in adult patients with Rett syndrome, we recently initiated screening for the first potential patient and we anticipate dosing the first patient in the first half of the year. We remain on track to report initial available clinical data, primarily on safety, for TSHA-102 in the first half of 2023 and plan to provide quarterly update on available clinical data thereafter. Importantly, we recently submitted a protocol amendment to allow patients as young as 15 years old to be included in the study, which we believe will further expedite enrollment. In the second half of the year, we intend to continue dosing patients with Rett syndrome in our REVEAL trial. For our study in pediatric patients with Rett syndrome, we plan to submit a CTA to the UK MHRA for TSHA-102 in mid-2023. We also have an IND application submission to U.S. FDA planned in the second half of the year. Now let's turn to TSHA-120 for the treatment of GAN, which to reiterate is an ultra-rare neurodegenerative indication with no approved treatments or established regulatory pathway. TSHA-120 has received orphan drug and rare pediatric disease designations from the FDA and has been granted orphan drug designation from the European Commission. In regards to manufacturing, we recently submitted a CMC module 3 amendment submission to the FDA detailing our commercial process product manufacturing and drug comparability analysis. As Sean mentioned, we also received feedback from the FDA in response to our follow-up questions to the formal Type B end-of-Phase II meeting minutes. The FDA clarified MFM32, the primary efficacy scale discussed at the FDA Type B end-of-Phase II meeting, as a relevant primary endpoint only in the setting of a randomized double blind controlled trial, while also acknowledging Taysha's challenge in executing and enrolling such a study design due to the ultra-rare nature of GAN. As such, the FDA is open to regulatory flexibility in a controlled trial setting and is willing to consider alternative study designs utilizing objective measurements to demonstrate a relatively large treatment effect that is self-evident and clinically meaningful. We are completing a comprehensive review of data from the ongoing natural history and interventional trial including functional, biological and electrophysiological assessments, which will inform our plans for future interactions with the FDA. The ongoing analysis include functional assessments of MFM32 and Ataxia as progressive gait and limb ataxia, is a common clinical manifestation observed in patients with GAN that often leads to loss of ambulation by the second decade. Additionally, we continue to analyze functional and structural aspects of the retina and optic nerve given that GAN patients experience deterioration of visual acuity and optic nerve degeneration over time. We are also conducting several objective biological and electrophysiological assessments including sensory nerve action potential, nerve and skin biopsies, ganglion cell and retinal nerve fiber layer thickness, brain and spine MRI images and muscle responses to nerve activation to determine whether there is a relatively large treatment effect that is self-evident and clinically meaningful. We intend to continue a collaborative dialogue with the FDA regarding the potential registrational path to bring TSHA-120 patients with GAN who reiterate have no approved treatments or established regulatory pathway. We plan to submit a formal meeting request to the agency in the second quarter of 2023 to further discuss the potential regulatory pathway forward for this ultra-rare disease. I will now turn the call over to Kamran to discuss financials. Kamran?
Kamran Alam: Thank you, Suku. Research and development expenses were $13.9 million for the three months ended December 31, 2022, compared to $37.9 million for the three months ended December 31, 2021. Research and development expenses were $91.2 million for the full-year ended December 31, 2022, compared to $131.9 million for the full-year ended December 31, 2021. The $40.7 million decrease was primarily attributable to a decrease of $20.3 million in research and development manufacturing and other raw material purchases and a $9 million decrease in license fees. The decrease in research and development expenses for the year ended December 31, 2022 was also attributable to a $12 million decrease in third-party research and development fees, mainly related to non-clinical and toxicology studies and a $4.7 million decrease in compensation expense as a result of lower headcount. Overall, lower research and development expenses for the year ended December 31, 2022 were partially offset by higher clinical trial expenses of $2.4 million and higher severance expense of $2.9 million in 2022. General and administrative expenses were $7.3 million for the three months ended December 31, 2022, compared to $11.8 million for the three months ended December 31, 2021. General and administrative expenses were $37.4 million for the year ended December 31, 2022, compared to $41.3 million for the year ended December 31, 2021. The decrease of approximately $3.9 million was primarily attributable to $5 million of lower consulting professional fees and reduced compensation expenses driven by lower headcount in 2022. Lower general and administrative expenses were partially offset by $1.1 million of severance expense. Net loss for the three months ended December 31, 2022 was $55.7 million, or $0.99 per share, as compared to a net loss of $50.4 million, or $1.32 per share, for the three months ended December 31, 2021. In November 2022, we recorded a $36.4 million non-cash, non-recurring impairment charge related to the North Carolina manufacturing facility. Currently, we are in the process of actively looking for buyers for the North Carolina manufacturing facility. The net loss for the three months ended December 31, 2022 was partially offset by revenue of $2.5 million recognized related to the Astellas Transactions. Net loss for the full-year ended December 31, 2022 was $166 million or $3.78 per share, as compared to a net loss of $174.5 million, or $4.64 per share, for the full-year ended December 31, 2021. As of December 31, 2022, Taysha had $87.9 million in cash and cash equivalents. The company continues to expect that its current cash resources will support planned operating expenses and capital requirements into the first quarter of 2024. I will now return the call back over to Sean for his closing remarks. Sean?
Sean Nolan: Thank you, Kamran. I am pleased with the progress we have made with our two lead programs during the first few months of 2023, including initiating screening of the first potential patient in the adult Rett study and submitting a protocol amendment that should further expedite patient enrollment. For GAN, we are encouraged by the constructive feedback received from the FDA and the preliminary assessment of the comprehensive data analysis to support a formal meeting request in the second quarter to further discuss the potential regulatory path forward. Our focus throughout this year will be on the execution and delivering across our planned milestones for Rett syndrome and GAN programs. We look forward to providing further updates throughout 2023. With that, I will now ask the operator to begin our Q&A session. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from Yanan Zhu with Wells Fargo Securities. Please proceed with your question.
Unidentified Analyst: Hi. Thanks for taking our question. This is [Quan] on for Yanan. So my question is on the Rett syndrome program, so given that acadia's DAYBUE is now approved for Rett syndrome patients aged five to 20, how would that affect your clinical study count in enrollment, particularly for the UK study? And do you need to include DAYBUE into your trial design? Thank you.
Sean Nolan: Thank you very much for the question. We've [indiscernible] thought in our planning and I'd like to ask Suku to provide some perspective on that. Suku?
Sukumar Nagendran: Yes. Thanks, Sean. This is an important question that you asked because I think getting a product approved for a terrible disease like Rett, I think, is very important for the whole disease state and the patient population. What I would also identify is that by having trofinetide approved, it also increases the awareness of the disease state amongst the physician and patients communities, which could potentially increase the number of accessible prevalent patients and also result in, I think, some serious discussion at the state and federal level when it comes to newborn screening, which could further increase the number of patients available from an incident standpoint. So what I'm saying is collectively this could be a real plus for the whole disease community, but also for sponsors like us who are doing interventional trials. Now to address your question about whether – once you have an approved product like trofinetide, where the mechanism of action obviously is very different from our product TSHA-102, which addresses the root cause of the disease, we would ideally like to treat patients that are treatment naive such that we can optimize and show the FDA and other regulatory authorities and the patient communities and the healthcare providers who treat this disease that this – our product will have significant impact on clinical progression of disease. Now that is the hope, but the caveat is as you ask, if there is an approved product, there is always possibility that we may have to have a arm which has a combination product evaluation as well, and that is something we would be happy to discuss further with the regulators and take it on a case-by-case basis. But my team is already considering this in the protocol designs for the future. Sean, anything else you'd like to add?
Sean Nolan: The only other thing I would add is, is that, given the half life of the product and some of the adverse event profile, there's opportunity for patients that take the drug may not be able to stay on it. So you've got a pool of, call it, non-treated patients that you could potentially access. And we experienced with Zolgensma study is that even with the addition of SPINRAZA, patients would be willing to either wait or wash out from taking those other medicines. So we'll certainly keep an active eye on the impact that trofinetide is having. We've given it a great deal of consideration into our scenario planning for clinical trial designs and we remain confident that we'll be able to enroll patients in the U.S. and in other geographies including Canada and the UK. So thank you.
Sukumar Nagendran: And Sean, if I can add one more point. Also, if you look at the trofinetide label, the discontinuation rates in the trials are very high due to GI symptoms and I've forgotten the exact numbers, but you may have to look that up. I think it was anywhere from, I don't know, 70% to even 90% in some of the trials. So that may have significant impact on more patients being available even though this product is available for patients with Rett syndrome.
Unidentified Analyst: Got it. Very clear. Thank you.
Operator: Thank you. Our next question is from Whitney Ijem with Canaccord. Please proceed with your question.
Whitney Ijem: Thanks for taking the question. So for GAN, you kind of listed out a lot of additional endpoints, functionally biomarker, et cetera that you're looking at. And I'm just curious, are those things that were selected all the way along hadn't been analyzed or focused on, or are those things that you are calling patients back in now to look at and will be comparing to natural history? And then part two of my one question is, is the goal there to kind of continue the dialogue with the FDA, use that data to potentially support filing or use that data to design another study?
Sean Nolan: So I'll take a first hand of that, Suku, and feel free to opine. I wanted to answer the first part of your question. This is data that's existing in the database. So these are patients – remember there's been 12 patients that have been treated. We've got the natural history before they were treated, and then all the study visits over the course of time in some cases many, many years and there are a multitude of assessments that were done. And what Suku’s team has been doing is, is comprehensively and systematically going through all of that data to fully assess it and to see if there are additional data points that can or metrics that can augment and further demonstrate the clinically meaningful effect and the objective measurement effect of the treatment on these patients suffering from GAN. And to answer your second question, I'll turn it over to Suku. The idea would be that we would submit a formal meeting request this quarter – the second quarter to dialogue with the FDA about this data and we will put forward after we fully have analyzed this – our view on what we think is the appropriate pathway forward. And that could very well be trying to seek approval with the existing data. So we haven't made a final determination yet, but we're encouraged by the data that we've gathered thus far and how it's starting to line up. Suku, what would you add or clarify to what I said?
Sukumar Nagendran: Yes, Sean. Thank you. So as you highlighted, it's an ultra-rare disease with no available treatment, very small patient population, and the patients are treated – in general, they were more than six years of age. So what we've observed is a slowing of disease as we've all previously talked about when it comes to MFM32. And as Sean pointed out, there were many efficacy endpoints in the protocol that the NIH designed, and it's that dataset that we are looking at when it comes to functional, biological and electrophysiological endpoints. But we're also doing some modeling work, and we think that comprehensive data analysis should give us enough information to go back to the FDA and request a meeting in the second quarter of this year for further discussion on what is the best path forward in a dataset that we think could really make a difference in these patient's lives, especially given it's an ultra-rare disease with no other treatments available. So cautiously optimistic as we collect all the data work with the NIH, and then go to the FDA hopefully and hopefully move this program forward. Thanks for the question.
Whitney Ijem: Thank you.
Operator: Thank you. Our next question is from Jack Allen with Baird. Please proceed with your question.
Jack Allen: Great. Thank you so much for taking the question. I'm going to stick with GAN here. And I was wondering if you could provide an update as to where things sit as it relates to the Astellas option for GAN, how are you thinking about the ex-U.S. opportunity? And then what's the turnaround time for the meeting request and who have you been meeting with specifically at the FDA? I'd love to get any insights there. It does sound like Peter Marks is quite optimistic about accelerated approvals based on a recent medical meeting that you are speaking at?
Sean Nolan: Yes. I'll take a stab at this, and Suku, please jump in. I think to answer your last question first, in terms of who from the FDA is going to be there, it's premature for us to say. We could not definitively make a statement relative to that. We'll do everything we can to make sure that the package that we put together is as compelling as possible based on both the natural history and the interventional data. And your point about Peter Marks is, is a good one. I mean, obviously we're headquartered in Dallas. The MDA Conference was in Dallas. There was a lot of buzz about some of the comments that he has made about how to deal with ultra orphan diseases. And obviously we feel like this one fits the bill tremendously. And that flexibility may lend itself well to the program, but we also understand we have to make that case. There's new leadership there now with Celia Witten taking over, and it'll – like, we're all watching to see what will happen. And hopefully, we can get some additional flexibility as Peter's kind of outlined in many of his public remarks over the course of time. Suku, do you mind taking on the other two questions from Jack? And Jack you might want to just, if you're on the line…
Sukumar Nagendran: Jack, can you repeat the question because there is a lot of question that you asked.
Jack Allen: Yes. Thanks so much, and I apologize. I know we're still limited to one. But the other questions I had were surrounding the Astellas option. Where does that fit or where does that fit as it relates to GAN? And then maybe if you could just touch on the ex-U.S. path forward for GAN and how you're thinking about potentially following in Europe, I would think? Thanks so much.
Sukumar Nagendran: Sean, do you want me to take that or would you like to take that?
Sean Nolan: Yes, I'll take it. On the ex-U.S. piece, Jack, we're not – we are focused right now on the U.S., so we have not had additional interactions with anyone overseas since the initial discussions. And we want to focus on all of our efforts, energy and resources right now on the U.S. As it relates to the Astellas option that is, we really haven't provided too much detail about that. But what I would say is that, we're still in a window where Astellas has the option and the time to evaluate whether or not they want to opt-in. I think it stands to reason that they would likely make a decision after we have this upcoming FDA meeting that we're planning to have. So we're planning to submit the meeting request in the second quarter. Hopefully, mid-ish year we have that actual meeting. And again, I can't speak for Astellas, but I would say around that time is when they would have the information to make a more fulsome decision on whether or not they want to opt-in on the program. So it's still a very active opt-in.
Sukumar Nagendran: And Jack, you have one more question on the regulatory turnaround times. As you know, it depends on the type of meeting we request, right? Whether it's a Type A, B, C, or D. And I think that's the decision we'll have to make, and that'll impact the turnaround times. Some as you know, could be 30 days or anywhere from 30 to 75 days depending on the type of meeting requested from the FDA, so…
Jack Allen: Great. Thank you so much. I appreciate you taking the questions.
Sukumar Nagendran: Yes. Thanks.
Operator: Thank you. Our next question is from Gil Blum with Needham & Company. Please proceed with your question.
Unidentified Analyst: Hi. This is Rohit on for Gil. Thanks for taking our questions. Can you just talk about the ex-U.S. market for TSHA-102, and would you be open to partnering the program? Thanks.
Sean Nolan: Well, I would say that the opportunity is significant, right? I think when we talk about the factors, there's approximately 25,000 patients in the U.S. and EU combined. So the opportunity over there is significant. There's good infrastructure over there in terms of clinical study sites, treatment centers, the patients are well identified. So we're encouraged by the opportunity over there. It's one of the reasons we've focused our clinical efforts in submitting that CTA mid-year into the UK. Just trying to think of the second part of the question. Well, the partnering aspect, I would say that that's something that we would potentially consider. I think you always have to look at all options, your current capital situation and make a determination on resource wise and otherwise, is it better to partner that or to better to keep it to yourself. Right now, the plans are for us and we have the funding this year to execute the trial as we've outlined it, the plan trial, I should say. So it's an option that we have, should we decide to pursue that.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question is from Silvan Tuerkcan with JMP Securities. Please proceed with your question.
Silvan Tuerkcan: Yes. Thank you. Thanks for taking my questions. Just to come back to GAN, I think the last time the FDA attempted you a modest or I don't remember exactly the wording, effect on the primary endpoint and that's why they wanted maybe a controlled trial. But I mean, obviously those are just words. And so how do we know now that they're open to a strong efficacy measure that you have met the bar with these additional endpoints. Could you stack them together to show a strong outcome here with the data at hand or how do you imagine this will play out? Thank you.
Sean Nolan: Well, I would say first of all that what the FDA said at the meeting minutes, the initial meeting minutes was very focused on MFM32 because that's where the majority of the discussion happened. That was the primary endpoint, that was the focus of the company. And so all of their comments were generally around that particular endpoint where they basically said, because they believe it's subjective, you need to have a double blind randomized controlled trial. So when we went back to them and we asked the subsequent questions, I would say that the new news is that they restated their review on MFM32, but then they said that they're willing to evaluate alternative trial designs that are controlled and a control can be natural history as you know, that have endpoints that are clinically meaningful and essentially objective. And so that is a, I would call it a door that was – a new door open there opportunity wise that makes a lot of sense to us so that it's incumbent upon us to determine what do we think is the data that would justify and address those two aspects, what is clinically meaningful and what is objective. And so with that, I'll turn it over to Suku to just give you a flavor of the comprehensiveness and the totality of data that we're looking at and why we're encouraged. Suku?
Sukumar Nagendran: Yes. Thanks, Sean. So your question is an important one. So let me start by saying again, I think somebody earlier asked about Peter Marks and the FDAs position when it comes to [CNS] ultra-rare disease, where there is no treatment available. So I think those remarks at the MDA were very important and hopefully we'll have some strategic impact on any sponsor that's dealing with an ultra-rare disease GAN or otherwise. Now, as Sean pointed out, as we continue our in-depth detailed analysis, the big question here is it's not just a MFM32. There are multiple other efficacy endpoints. And the question is, will our intrathecal gene therapy actually show broad clinical impact, some or most of which could be collectively considered clinically significant, whether it's really in a very large way or even in a moderate fashion in our ultra-rare disease that allows us to make a case in behalf of patients and as the sponsor for potential accelerated approval or an approval that is acceptable such that we can make this medicine available to the patient community. And as Sean pointed out, it's the collective birth of data I think that could eventually make the case for this therapy for further review at the FDA and for us to make the case for the submission of a meeting with the FDA in the second quarter. So I hope you understand what I'm trying to explain. It's not just MFM32. There are multiple other endpoints that I think that we've observed with the help of the NIH and other experts that are presenting this ultra-rare disease called GAN, that our product may have clinical impact. And I think that collective case is what may give strength to the potential review and approval of the product. So take you, and I'm keeping my fingers crossed, that's what we can do for this patient community. Thank you.
Silvan Tuerkcan: Great. Thank you very much.
Operator: Thank you. Our next question is from Yun Zhong with BTIG. Please proceed with your question.
Yun Zhong: Hi. Thank you very much for taking the question. So my question is on the Rett syndrome program. And so the change in the patient age to treat patient as young as 15 years old. In addition to helping patient enrollment maybe, do you have any other goals that you would like to achieve in terms of treatment outcome analysis and the initial data? Would that be safety only or will you be able to provide any additional information?
Sean Nolan: Suku, would you like to take this question, please?
Sukumar Nagendran: Yes, Sean, I will. Absolutely. So this is another very important question. So there was a very important clinical reason that my team and obviously as a sponsor, we decided to submit this updated version for amendment to Health Canada because by dropping the age to 15, and we do have pre-clinical data and other data that supports us doing this, it enables us to treat a younger group of patients, which we think in this neurodevelopmental disorder may allow us to have greater impact over time. So the question on the table is, a) by dropping the age and having certain endpoints in our efficacy measures and also evaluating safety, will we not only have access hopefully to more patients, given that it's now a larger patient pool, but could we also show greater clinical impact that goes beyond safety in a much shorter timeframe?  So the question is, when you treat adult patients who have more mature disease or more progressive disease over the age of 18, will it take much longer for any product to have impact versus once you drop the age, could you have much greater clinical efficacy impact. So our hope, even though the initial dataset that we'll accumulate over time will be safety data. The big question on the table is will we also show greater clinical efficacy impact? And my hope as a clinician is that is what we will also see, which will allow us to show the strength of our gene therapy intervention for Rett syndrome, which as you know, is a terrible disease by treating the root cause of the disease. So that is our hope, and I hope that answers your question.
Yun Zhong: Okay. Great. Thank you.
Operator: [Operator Instructions] Our next question is from David Hoang with SMBC. Please proceed with your question.
David Hoang: Thanks for the update and taking my question. I had one question just with GAN. Have you consider – are you formally considering accelerated approval pathway there? Is that something given the endpoints and the data that you are now reviewing? Do you think that path would be available to pursue? And if so why or if not, why not?
Sean Nolan: Suku, would you please take that question?
Sukumar Nagendran: Yes, Sean. I can only give you my opinion based on the data that I've seen in our overall regulatory discussions, right. So obviously, what we can do is look at our dataset, see if the broad impact of our product gene therapy is truly clinically meaningful, and then ask for the meeting with the FDA. And absolutely, if we believe our product is truly making a difference in this ultra-rare disease, while there's no treatment option available, I would absolutely love to ask for the FDA to consider our product for accelerated approval such that we can make the medicine available to patients. But the caveat is this, right. So this I have to be very clear on is we have to have a collective dataset that truly enables us to make a convincing case with the FDA that this gene therapy qualifies for accelerated approval. So that is what we are hoping for, and that is the plan when we submit our request for an FDA review once we do complete our full analysis, okay. So I hope that helps, and I don't know Sean, if you wish to add anything more to what I said?
Sean Nolan: Yes. Look, the only thing I would add to that is when you think about some of the remarks from what Dr. Peter Mark said has said multiple times publicly, and you think about the disease state of GAN and a product that could merit an accelerated rule. It certainly fits the bill. We don't want to get ahead of ourselves at all, and we don't want to prejudge final data. I would just say that based on the preliminary assessment, we're encouraged about the package that we can put together and we will certainly make the most aggressive presentation we can based on data to four patients, and to get down this product as soon as possible, given that there's nothing available to particular point in time. So if we're convinced the data is compelling and meets the bar, you would push hard for something like that. Thanks for the question.
Operator: Thank you. Our next question is from Joon Lee with Truist Securities. Please proceed with your question.
Joon Lee: Hi. Thanks for the update. When you say in your press release that the FDA is open to regulatory flexibility in a “controlled trial settings”, does that necessarily refer to placebo controlled trial setting or can that include some other controlled setting? And it's the latter, what could it be?
Sean Nolan: Well, I'll give you my answer to that and Suku, please opine. But when you look at FDA guidance and you look at accelerated approval, there's generally a consideration of a controlled trial. And that controlled trial is one of the designations would be as an example, natural history. So I think there's a distinction between a controlled trial and a double blind placebo controlled trial. And the language written in the responses that we got from the FDA are clear on those. When they were talking about MFM32, they were talking about a double blind placebo controlled trial, when they were talking about alternate trial designs that met the bar of clinically meaningful and objective end points, they talked about a controlled trial. So I think they're speaking to the letter of the guidance, but Suku, I would ask you for further clarification on that.
Sukumar Nagendran: Yes. Thanks, Sean. So given that it's an ultra-rare disease, doing a placebo controlled trial, I don't think it will be practical and could take forever. So if there are alternative study design, necessary or have to be discussed, the simplest would be to dose a few more patients where you already have pre-treatment natural history for comparison. So with that caveat, our hope is that the collective dataset that we submit to the FDA will qualify for a serious review and potential appropriate approval if the FDA thinks that's the best way path forward for the patient community. So I would leave it at that. And Sean, is there any other question you wish me to address? So hopefully, we addressed the question that was asked.
Sean Nolan: No, I think you did.
Sukumar Nagendran: Okay. Thank you.
Joon Lee: Thanks.
Operator: There are no further questions at this time. I would like to turn the floor back over to Sean Nolan for closing comments.
Sean Nolan: Thank you, everyone for their time and interest in what we're trying to accomplish here at Taysha. I'm very pleased that the progress we've made in the short time period in 2023, we've got a long way to go, we are working hard, and we look forward to sharing future updates with you in the coming months. Thank you all and have a good night.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.